Operator: Good afternoon. And welcome to Alfa’s Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session with instructions given at that time. As a reminder, today’s conference call is being recorded. Now I would like to turn the call over to Mr. Hernan Lozano, Vice President of Investor Relations. Mr. Lozano, you may begin.
Hernan Lozano: Good afternoon, everyone. And welcome to Alfa’s second quarter earnings webinar. We hope this Zoom broadcast will be more convenient than our previous dial-in and webcast alternatives. As always, we very much appreciate your feedback. Further details about our financial results can be found in our press release, which was distributed yesterday afternoon together with a summarized presentation. Both are available on our website in the Investor Relations section. Let me remind you that during this call, we will share forward-looking information and statements, which are based on variables and assumptions that are uncertain at this time. It is my pleasure to participate in today’s webinar together with Eduardo Escalante, Alfa’s CFO; Roberto Olivares, Sigma’s CFO; and representatives from each Alfa company. Before moving on to our discussion on results, let me make a brief comment about the accounting treatment of Axtel. In accordance with IFRS, Alfa began accounting for the subsidiary as a discontinued operation in the second quarter 2022. This treatment was applicable through May 29, 2023, which is the data Controladora Axtel shares were distributed and started trading on the Mexican Stock [ph]. Detailed information related to this can be found in our earnings release. Unless otherwise specified, all consolidated figures referenced in this call exclude Axtel. I will now turn the webinar over to Eduardo.
Eduardo Escalante: Thank you, Hernan, and good afternoon, everyone. We greatly appreciate your participation today. An important step forward for Alfa during the second quarter was the successful spin-off of Controladora Axtel, further simplifying our corporate structure. Shareholders now have the option to hold individual stakes in Nemak, Axtel and Alfa. Our portfolio has been streamlined down to Alpek and Sigma, two large geographically diverse companies with leadership positions in their respective industries. In addition, these two businesses have gradually gained autonomy from Alfa-related services as we continue trimming our corporate expenses. We have come a long way in our transformational process and are fully committed to continue moving forward in a prudent and efficient manner. Three factors are key to completing our journey, while ensuring financial flexibility at Alfa, Alpek and Sigma. First, higher EBITDA generation from Sigma. It is exciting to see the company’s record 2Q 2023 performance and optimistic outlook, which reflects a significant improvement when compared with the challenges Sigma faced last year. Second, debt reduction at the Alfa level. The valuable assets we hold plus the organic cash flow that our businesses generate support various potential deleverage avenues ahead. Importantly, bank loans at Alfa totaling $700 million provides flexibility in the timing and amounts of future payments. Third, the discipline in our methodical and diligent approach. This is especially important as we are keen on defining the path forward of this orderly process, I mean, a fluid macro environment. Moving next to a discussion of Alfa’s second quarter results. Our consolidated revenues were down 10% and EBITDA declined 46% year-over-year. However, our two subsidiaries posted substantial differences in their standalone performance. Alpek is facing both expected and unexpected headwinds, while Sigma is exceeding original estimations by a wide margin. I will now turn the call over to Roberto Olivares, Sigma’s CFO, to let him discuss the company’s strong second quarter results and progress on strategic initiatives. Please, Roberto.
Roberto Olivares: Thank you, Eduardo, and good afternoon, everyone. On the business front, I would like to start with an overview of financial and operational results, provide additional information on the revised guidance and discuss recent developments. Record consolidated revenues were $2.1 billion, 15% higher than second Q 2022, signaling our ninth consecutive quarter of year-over-year growth. Revenues reflected an increase across all regions when compared to the same period last year and were mainly driven by a strong volume in Mexico, higher average prices in Europe and the appreciation of the Mexican peso and the euro against the U.S. dollar. The record high quarterly EBITDA of $217 million was up 26% versus second Q 2022 and mainly boosted by a strong performance in the Americas. As results for the quarter benefited from raw material cost improvements in the U.S., favorable results on Mexico foodservice channel and a strong Mexican peso. Amid then during inflationary pressures that continue to impact European operations and in addition to pricing adjustments, we have also executed several important cost saving actions. During the quarter, we implemented a comprehensive restructuring plan, leading to a 5% reduction in administrative payroll throughout the region. These initiatives paves the way for cost savings, raises accountability and fosters improved organizational alignment. We anticipate that the savings generated from this endeavor will offset second Q 2023 non-recurring restructuring expenses of $12 million during 2024. Encouraged by the robust performance during the first half of 2023 and a promising outlook for the rest of the year, we are excited to announce that we raised our 2023 guidance. Revised revenues are now $8.6 billion, reflecting a 6% increase when compared to our original guidance. Updated EBITDA stands at $880 million, marking a 25% increase versus the prior amount and will signify a milestone for Sigma, significantly surpassing the $800 million mark. These adjusted figures consider the favorable outcomes in the Americas and better results for our European operations in the second half of the year. In addition, we revised our CapEx guidance downwards to $240 million from the initial $280 million in order to reflect only essential investments. This figure does not include the recent acquisitions. Moving on to strategic topics. During the quarter, we acquired a majority stake in Los Altos Foods, a renowned U.S. regional dairy brand. This integration bolsters our position within the attractive and growing Hispanic cheese market and complements the value proposition of our Hispanic brands portfolio. In addition, the Iowa plant purchase was completed in June, which will reinforce our lunchmeats production through face capacity increments both the strategic location of Los Altos production facility on the West Coast, plus the new package mix plan in Iowa will create an incremental capacity that significantly improves our U.S. footprint, enabling us to better serve our consumers in the region. On the sustainability front, we are proud to announce that the science-based targets initiative or SBTi, validated our near-term company-wide targets to reduce greenhouse gas emissions across the Scopes 1, 2 and 3. The SBTi aligns with the most up-to-date climate science and adhere to the guidelines set forth by the Paris agreement. This endorsement strengthens our confidence in our ongoing progress towards environmental stewardship and deepens or commitments to incorporate ESG criteria into our daily decision-making processes. The record achievements and the significant progress of our first semester provide us a solid foundation as we look towards the future. We approach the second half of the year with an optimistic view, constantly striving to generate enduring value for our stakeholders. Thank you for your attention. I will now turn the call back to Eduardo for regional comments and closing remarks. Eduardo?
Eduardo Escalante: Thank you, Roberto. Let’s move on to Alpek’s second quarter results and updated outlook for the remainder of the year. Our petrochemical business posted year-over-year declines of 71% and 46% in EBITDA and comparable EBITDA, respectively, versus peak levels in 2Q 2022. Results reflect the anticipated normalization of ocean freight rates and a higher influence from weak Chinese reference margins. In addition, Alpek is facing a challenging feedstock environment marked by higher paraxylene prices in North America versus Asia, which also weighs on polyester volume and markets. Among other immediate actions, the company is increasing its paraxylene imports from Asia to mitigate the current feedstock prices connection. However, the recent industry headwinds have prompted Alpek to revise its full year guidance. Comparable EBITDA was adjusted down to $770 million, mainly reflecting lower volume and margins in the polyester segment. Furthermore, Alpek estimates an annual impact of $110 million from extraordinary items, such as non-cash inventory adjustments and carry-forward effect. In turn, Alfa updated its 2023 consolidated guidance to reflect the adjustments at Alpek and Sigma. Revenues were lower to $16.4 billion, EBITDA decreased to $1.5 billion, Comparable EBITDA increased slightly to $1.65 billion and CapEx decreased to $547 million from our previous revision. We are encouraged by Sigma’s positive outlook and confident in Alpek’s ability to navigate through the temporary market distortions supported by its strong position. At Alfa, the focus is on completing our advanced transformation. This concludes my remarks. We are now available to take your questions. Please, Hernan.
Hernan Lozano: Sure. We would like to begin the Q&A session with questions on Alfa. Eduardo and I will take questions on Alfa or corporate matters. As a reminder, Sigma, Alpek and Axtel will be available to answer individual questions later in the Q&A session. Operator, please instruct participants to queue for questions on Alfa.
Operator: [Operator Instructions] Our first question comes from Rodolfo Ramos from Bradesco. Please go ahead.
Rodolfo Ramos: Hello. Good afternoon, Eduardo and Hernan. Thanks for taking my question. I have a question on a follow-up on Eduardo’s initial remarks. You mentioned these three key factors in your unlocking value initiative. And I just wanted to get a little bit of more color on your first factor, you mentioned that higher EBITDA generation at Sigma. It’s clear that things are moving in the right direction with the revised guidance, very strong Mexico operation, perhaps, Europe, you still have some improvement there. But how does this better performance at Sigma make you think about the time line on the final step, let’s say, let’s call it out on this unlocking value initiative, which we should bring Alpek to the -- follow the same path as Axtel and Nemak. And coupled with that, I think this is something that I have also might have mentioned in the previous call, but we have seen Alpek’s performance also weak share price. So as well, how does that factor in, in this time, just to get a sense of when we might start getting more details and for us to follow this story better? Thank you, Eduardo and Hernan.
Eduardo Escalante: Thank you, Rodolfo, for bringing those questions. Let me begin by confirming, and I would say, reaffirming that we maintain a firm commitment to continue with the transformation process that we have engaged in Alfa. We -- however, we think it’s important that each step that we take forward will -- is taken carefully to ensure that we maintain a strong financial position both at Alfa, as well as the subsidiary levels. Certainly, as you mentioned, a strong EBITDA generation by Sigma helps significantly to move along the process. We are very excited to see a faster than expected growth in the Sigma’s EBITDA. Just as a reference, Sigma’s guidance in terms of EBITDA is 25%, as Roberto mentioned, above the previous level. So that certainly helps and we hope to be able to maintain the solid growth in Sigma beyond 2023. Having a higher EBITDA, as you mentioned, will help the process as Sigma will be able to keep a larger portion of Alfa’s debt in their balance maintaining strong position. So that, that certainly helps, and hopefully, going forward, we will continue to do so. Regarding Alpek, Alpek share price, we have discussed in the past and I think it’s important to remind the market that, the lower the market prices in the case of Alpek, the lower the profit would be when we do the spinoff of Alpek. As you may recall, the spin-offs in Mexico according to the fiscal lower consider a sale for fiscal purposes. So the lower the price, the lower the profit, and therefore, the impact would be lower. We follow a very conservative fiscal approach in Alfa, as we have done in the past transactions, both in the case of Nemak and Axtel and we will continue doing so in Alpek. But certainly in lower stock price helps the process going forward.
Rodolfo Ramos: Thank you.
Eduardo Escalante: You are welcome.
Operator: Our next question comes from Nik Lippmann of Morgan Stanley. Please go ahead.
Nik Lippmann: Hi, gentlemen. Thank you very much for taking my question and thank -- congrats on the strong numbers in Sigma. Like Rodolfo, I am looking -- I am just looking for kind of that clear roadmap towards the in-store transformation here. Eduardo, can you comment on the 3 times net debt EBITDA target and right now, with Alpek being closer to book value, is that something you could provide, I mean, could it be 3.5 times, could you think about the value of the headquarter as almost cash in that calculation. So that’s question number one. Question number two, how should we think about dividends from Alfa in this whole process, over the last year you paid out very aggressive dividends over the last couple of years, you haven’t paid dividends, I think, so far this year, and obviously, Alpek is paying less -- will be paying less going forward. So how should we think about that in terms of the whole restructuring and in terms of your dividend policy? Thank you very much.
Eduardo Escalante: Sure, Nikolaj. Thanks for the questions. Regarding the targets, today, we have Alfa at 3.3 times. We expect Alfa to continue being below 3.5 times. Going forward, certainly, for the rest of 2023, considering the lower EBITDA from Alpek and higher from Sigma, we will have pressure, we will have some pressure by the decreased EBITDA in our leverage level. But we think we will be -- we will continue being below 3.5 times. Regarding Sigma, Sigma today at 2.8 times and Alpek being at 2.3 times. Even though we expect Alpek to increase a little bit in their leverage and Sigma to decrease when they continue capturing the opportunities that they mentioned in their guidance, we expect both to trend towards 2.5 times. Going forward, we feel confident that Sigma can maintain the leverage below 2.5 times in order to have room to take over some of the debt from Alfa when the spin-off of Alpek is done. We think we do have some room, as you mentioned, to be about 2.5 times. We don’t like it. We think 2.5 times is a reasonable level and we will certainly aim to continue being at or below 2.5 times. The growth expected for Sigma going forward the next few years should be -- should provide enough room to be able to be at that level, below 2.5 times. Regarding dividends, your second question, dividends certainly considering the situation that Alpek is facing with the headwinds, a more cautious approach will be followed. Alpek announced today during the conference call that they do not expect to pay any additional dividends for the remainder of the year. In the case of Sigma, Sigma already paid $75 million in the first half of the year. The second payment of Sigma is it still being near awaited. Honestly, we don’t know how much Sigma will, if any, pay any additional dividends to the holding company to Alfa and depending on that is what we will do in Alfa. At this point in time, what we can say is that Alfa additional payments of dividends for 2023 are not confirmed. The Board is looking at the capital allocation at the Alfa level in an ongoing basis and certainly, an alternative that, that I think is a strong alternative is to take advantage of additional dividends from Sigma, if any to continue with the debt reduction at the holding company. So I think it’s early to put a stake on the ground regarding dividends in Alfa going forward. But certainly, the position today is with a Alpek situation is, I would say, weaker in terms of cash flow for Alfa from Alpek in terms of dividend. So we are, as I mentioned revising the dividends going forward.
Nik Lippmann: Thank you.
Eduardo Escalante: You are welcome.
Operator: There are no further questions at this time.
Hernan Lozano: Thank you. So in that case, we will then take questions on Sigma. Roberto Olivares, Sigma’s CFO, will answer your questions. Operator, please prompt for questions on Sigma.
Operator: [Operator Instructions] Our first question comes from Rodolfo Ramos from Bradesco. Please go ahead.
Rodolfo Ramos: Thank you. My question is just on your different regions. How sustainable do you think the current level of EBITDA margins are in Mexico and the U.S.? And then if you can talk a little bit about the actions that you are taking in Europe and when do you expect to recuperate what you have seen in terms of margin historically? Thank you.
Roberto Olivares: Thank you, Rodolfo. Thank you for your question. So let me start by Mexico and the U.S. There were certainly several tailwinds benefiting the results, particularly in Mexico, mainly because of the FX and also resilient demand. We have a careful approach that prior to size volume having in mind a long-term perspective. So if external conditions, let me say that the Mexican peso depreciates in the further months, we do expect to cover that gap with additional EBITDA coming from Europe and let me move to Europe. In terms of Europe, if you see this quarter, we have one big impact because of an administrative organizational restructure of €12 million -- $12 million and if you deduct that or do a pro forma of that impact, the result would have been fairly different. Also during the second half of the year, we do expect to have additional volume because of seasonality, usually during particularly the last quarter of the year, we have higher volumes in Europe and also we do expect to have better margins. One, because of pricing, particularly in France, most of the pricing in France is index that to the cost of raw materials and we do expect that prices to raise during the third quarter. And also mainly in the last quarter of the year, we do expect raw material prices in Europe to decrease, particularly because we have higher production of pork. So, if you see this going forward, depending obviously on what happened to the FX, but even if the FX depreciate, the Mexican peso depreciate a little bit, we do expect to continue having kind of the same of profitability, because we do expect Europe to recover in the second half of the year.
Rodolfo Ramos: Thank you, Roberto. If I may have a follow-up, on your comment about resilient demand, can you talk a little bit of how do you see the consumer in Mexico, I mean, clearly, the FX is helping a lot. But just looking at the demand side, we have started to see some companies seeing some down trading, maybe in specific categories, but if you can talk to the -- how do you see the Mexican consumer going forward, that would be useful? Thanks.
Roberto Olivares: Sure. So, I would say, in general, we have seen first inflation going or lowering a little bit in the last months. Also we say employment getting a little bit better. If you see numbers of consumer confidence, the ones that are public, you also see that the consumer confidence is improving in the country. We have a good thermometer in terms of also economy with our foodservice business. We can see that out-of-home consumption has been increasing our volume in our food service, particularly in Mexico has been increasing significantly. And also tourism, also we see the hotel occupancy rate that we have in the main tourist destinations and we also see that rating increasing. When you see how our volume is increasing in the different channels, Rodolfo, particularly the modern trade and also convenience, the convenience channel are the ones that are increasing the most. So people are more in the street. They are more -- there is a little bit more than mentioned [ph] at least in our category in terms of volume. In terms of -- you mentioned trade down, I would say, in terms of trade down, particular in Mexico, since we have been increasing volume, we do see higher volume increases in those segments that are more value or that -- not -- so not the premium segments. So lower segment brands are increasing at a higher rate than those of the premiums. But I think it’s fairly in line with inflation. But we are constantly, again, taking care of our consumer looking into how we can better serve them. We have been a lot of -- we have been doing a lot of internal work in terms of cost and expense saving initiatives in order to not necessarily or do not increase prices on the contrary to be able to offer some discounts and continue having some good margins.
Rodolfo Ramos: Roberto, thank you.
Operator: Our next question comes from Alejandro Lavin of Santander. Please go ahead.
Alejandro Lavin: Hi. Good morning, everyone. Thank you for the call, for taking our question. So I have a follow-up on the prior question regarding margins. So you mentioned, right, that you are on the right path to continue recovering margins this year, probably, also next year. So what will be like a sustainable ballpark margin target for the next couple of years, let’s call it, 2024, 2025 medium-term roughly to have that in mind? Thank you.
Roberto Olivares: Thank you, Alejandro. And so I will say that the -- if you see the margins by region, right now we have a Mexico business with significantly good margin for the quarter around 16%, and I will say that in the mid-teens is something that particularly in Mexico we think we were able to sustain. The big difference will be the one in Europe. So right now, obviously, because of that one-time effect, the Europe margin is negative. But if we go back to our plan in Europe and being able to increase the margin in the coming months, I will say, the consolidated margin of the company should be more in light to mid-teens number than the one that we have right now. And for the case of Europe, I will say, first, we need to get back to our pre-conflict EBITDA margin levels. And as I mentioned, we have been taking decisive actions in terms of pricing and also in terms of cost savings and this restructure that we did during the quarter is a sample of what we want to do. And in addition to that, we do expect to continue having innovation to gain some more volume in the different regions. After we recovered that pre-conflict EBITDA margin, we want to continue with our medium- to long-term strategy. The one that we have discussed previously, based on our footprint optimization based on our high potential opportunities, particularly in snacking and plant-based in Europe and also on our European heavy touch product that we want to be able to sell in other countries outside of Europe with high margins.
Alejandro Lavin: So in terms of timing, like, when will be a year that you could achieve this, is that maybe 2025 and has this time line changed given the current environment versus the start of this year?
Roberto Olivares: Sure. So, I would say, in terms of our medium- to long-term strategy, we are advancing in a good pace, but more to recover the pre-conflict margins in the short-term, it will depend, let me say, a lot on how the inflation evolves, given the Russia-Ukraine conflict. There is still a lot of volatility and uncertainty. Recently, you know that in the past couple of weeks, the Black Sea grain initiative stop and there was some volatility on prices of grain, and therefore, prices on protein. So, I will say, more on the short-term it will depend a lot on that and -- but in the long-term, we are working diligently to be able to whenever the situation on Russia and Ukraine exist, we are able to recover back our path to that number.
Alejandro Lavin: Okay. Understood. Thank you.
Roberto Olivares: Thank you, Alejandro.
Operator: Our next question comes from Nik Lippmann of Morgan Stanley. Please go ahead.
Nik Lippmann: Thank you, Roberto, and congrats on your numbers. Could you talk -- two questions on my side here, can you talk a little bit about any potential strategic initiatives you are considering looking at in Europe from asset sales closures or even on IPO in Spain, where I would imagine you are still profitable? And so that’s question number one. And question number two, can you talk about -- maybe just a reminder and I am sorry if I missed it in the quarterly note. But what’s the status of your relationship with Yoplait, when is it up for renegotiation and how are you doing with those negotiations? Thank you.
Roberto Olivares: Okay. Thank you. Thank you, Nikolaj. So let me talk about the strategic initiatives in Europe. So as I mentioned, we have been working on -- particularly on the optimization of our footprint. In -- two years ago, we announced the sale of two plants in France. We were also consolidating some distribution centers that we have in Spain. We used to have two and we are consolidating that to one in Spain in order to optimize more our footprint. We are changing some lines improving or getting more capacity, particularly for a constitutional line in Portugal that is going to be able to give us capacity but also lower fixed cost. So we have been working in all -- in our plants in all what we call systems, particularly dry hams, dry sausage and cook ham and cook sausage, being able to optimize our footprint as much as possible. We also see some opportunities, again, in terms of white spaces or adjacent categories. For example, we have been introducing a snacking and plant based in Europe very successfully recently. In the case of Spain, our plant-based hotdog is now the number one plant-based hotdog of Spain in just maybe half a year being on top of the brands that has been there for many years and we are still evaluating more opportunities on that front. In the case of Yoplait, we have a long-term relationship with them. We have been working since 1994 in renewing that contract since then. We operate the brand as it’s our own brand. We do not expect any disruptions on that sense. We have a very good, let me say, operations in terms of how we operate the plant. The plant is one of the best practice plans of the Yoplait system. And also in terms of innovation, we have been doing very well. I can say that most of the -- the most but a good number of the volume growth that we have in this quarter versus last quarter of last year -- the same quarter last year, it has to do with yogurt. So we have been doing very well in terms of volume on our Yoplait brand in Mexico.
Nik Lippmann: Okay. Thank you.
Operator: Our next question comes from Alejandro Azar of GBM. Please go ahead.
Alejandro Azar: Hi, Roberto. Good morning. Thank you for taking my question. It’s very simple. From your Mexican operations, the $163 million in EBITDA. Could you give us some color on the FX benefit that you have on your -- on the cost side?
Roberto Olivares: Sure. Thank you, Alejandro. So we have approximately around $8 million to $10 million of benefit in FX per month versus last year versus the numbers -- the average effects from last year.
Alejandro Azar: So that’s a $30 million impact for the quarter, right?
Roberto Olivares: Yeah. Yeah. That is correct.
Alejandro Azar: Thank you, Roberto.
Operator: Our next question comes from Eduardo Motta from BlackRock. Please go ahead.
Eduardo Motta: Thank you. Can you hear me?
Roberto Olivares: Yes, Eduardo. I can hear you.
Eduardo Motta: Good to see you, Roberto, for the special question, Roberto. I am just wondering if the restructuring process in Europe is over or should we expect additional charges in the coming quarters? Thank you.
Roberto Olivares: Thank you, Eduardo. So right now we do not expect additional charges on this in the next quarter.
Eduardo Motta: Okay. Thank you.
Operator: There are no further questions at this time.
Hernan Lozano: Thank you. Let me just going back real quick to a question in regard from the Q&A function in the Zoom broadcast. And it relates to Alfa’s leverage, additional color Eduardo on Alfa’s leverage at the close of 2023, given our new consolidated guidance, please?
Eduardo Escalante: Sure. Sure, Hernan. We see no impact in operating free cash flow versus the previous guidance at the end of this year. With the new guidance -- at the consolidated level, the EBITDA has a reduction of roughly $85 million, which will be almost fully compensated by less CapEx. We have $75 million less CapEx as we postpone non-essential investments. In addition to that, we also expect to have by the end of the year, improvements in net working capital as the companies take advantage of lower raw material and feedstock costs. And also in dividends, as we have discussed, as we follow a more cautious approach, within all these factors will combine to mitigate the upward pressure that we will have the rest of the year caused by the decrease in EBITDA. All in all, we expect Sigma to decrease from 2.8 times today and approach during the rest of the year the 2.5 times target, as I mentioned before. In the case of Alpek, we expect Alpek to be able to mitigate the upward pressure from the 2.3 times that they are today and remain close to 2.5 times. And finally, on a consolidated level in Alfa, we expect the leverage to continue being below 3.5 times, considering our expectations for the rest of the year is reflected in the current items.
Hernan Lozano: Okay. That was the only question we got from the Q&A. And in that case, I would like to move forward and take questions on Alpek and Axtel. We have Jose Carlos Pons, Alpek’s CFO; and Adrian de los Santos, Axtel’s CFO. So, Operator, could you please prompt for questions on Alpek or Axtel.
Operator: [Operator Instructions]
Hernan Lozano: So it seems that there’s no additional questions. No. I think we are getting one question from Alejandro Lavin.
Operator: Our first question comes from Alejandro Lavin. Please go ahead.
Hernan Lozano: Thank you, Operator.
Alejandro Lavin: Thanks, again. So, I guess, could you provide more color on this guidance -- EBITDA guidance cut, I mean, it’s -- the magnitude of the cut is quite relevant. So I am wondering if you could provide more color on how these trends have evolved throughout the year and how and why this is big of a surprise so early, quote-unquote, in the year, just halfway through the year. Thank you.
Hernan Lozano: Thank you, Alejandro. And just to be sure. You are talking about Alpek, right. This question is for Jose Carlos?
Alejandro Lavin: Yes. Correct. Alpek’s EBITDA…
Hernan Lozano: Yeah.
Alejandro Lavin: … guidance cut. Yes.
Hernan Lozano: Okay. Thank you.
Jose Carlos Pons: Okay. Thank you for your question. Well, as we indicated in our conference call, before this conference call, basically what we are thinking or seeing it’s a softer second half of the year than what we originally expected. So the reason mainly for adjustment in EBITDA guidance comes from our view of the second half of the year. As you will see, we are having a more cautious approach towards the margins that we will face in this latter part of the year, and additionally, we are seeing softer volumes throughout the segments in which we participate. We are still optimistic on the rest, let’s say, going forward, we see resilience in the markets in which we participate in. But at this moment, we don’t feel that it’s prudent to remain with the good guidance that we had beforehand. So I will summarize it in lower margins and a little bit lower volumes.
Alejandro Lavin: I am thinking of 2024, could this -- could we see an improvement, perhaps, on EBITDA?
Jose Carlos Pons: Well, certainly, we are working on several initiatives on footprint to optimize our cost. We are also doing restructuring in terms of energy contracts and we are also looking ways to improve our G&A. So that should contribute to improve just our cost position. Margins, of course, it’s difficult to forecast, but I think we are at the bottom of the cycle, and well, there could be some upside going forward in 2024.
Alejandro Lavin: Okay. Thank you.
Operator: Our next question comes from Augustine Monasota [ph]. Please go ahead.
Unidentified Analyst: Hello. Can you hear me?
Hernan Lozano: Yes, Augustine. Hello.
Unidentified Analyst: Hi. I have a follow-up question for Jose Carlos. You mentioned lower volumes in the second half, but I understand that your business is very close to the construction business. So at the end, you are guiding, like, improvement in terms of volume for Sigma. I am just trying to understand what is this lower volumes come from in the case of Alpek? And second question is, I am not sure if I understood correctly, but you are expecting that leverage to remain at 2.5 times at Alpek level. If not so, if you can clarify how is going to be that number with lower EBITDA? Thank you.
Jose Carlos Pons: Certainly. Thank you. I will get first your question regarding volumes. Well, we have been cautious on not just producing tons. So we have rationalized some exports that we were doing out of Mexico and some other facilities that we have in the U.S. into other markets. And that’s mainly the reason that we are seeing our volumes, because we have been cautious enough to maintain profitability. It’s not in the area of there’s lower demand in the U.S. market. We believe that the portfolio that we have today is very resilient and we continue to be in a very strong position. So it’s really just rationalizing lower profitable volumes. In the terms of leverage, yes, our target remains 2.5 times. What we have been doing, well, as we indicated in our conference call, we have been focusing strongly in working capital. We were able to capture plus of $200 million of working capital only in this quarter and we believe there’s still opportunity to further capture or improve our working capital. In addition, we have been focusing on making more efficient investments. At this moment, we have not taken the decision to take any of the projects that we have out of the scope. But we are just trying to challenge our people and find ways to be more efficient in how we invest. And I guess that’s it, and of course, the dividend, what should we confirm that will not be paid in this year also supports our commitment towards the 2.5 times net debt-to-EBITDA.
Unidentified Analyst: Great. Thank you.
Jose Carlos Pons: Thank you.
Hernan Lozano: Thank you, Augustine.
Operator: There being no further questions. I would like to return the call to management.
Hernan Lozano: Well, in that case, we would like to thank you very much for your interest in Alfa. If you have additional questions, please feel free to reach out to us. We would be pleased to assist you. Thank you very much for joining us today and have a great day. We will now disconnect.
Operator: This concludes today’s conference call. You may disconnect.